Operator: Greetings, ladies and gentlemen and welcome to CareDx Incorporated First Quarter 2019 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] It is now pleasure to introduce your host, David Clair. Thank you. You may begin.
David Clair: Good afternoon, thank you for joining us today. Earlier today, CareDx released financial results for the quarter ended March 31, 2019. The release is currently available on the company’s website at www.caredx.com. Peter Maag, Chief Executive Officer; and Michael Bell, Chief Financial Officer, will host this afternoon’s call. Before we get started, I would like to remind everyone that management will be making statements during this call that includes forward-looking statements within the meaning of Federal Securities Laws which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Any statements contained in this call that are not statements of historical fact, should be deemed to be forward-looking statements. All forward-looking statements including without limitation, our examination of historical operating trends, expectations regarding coverage decisions, pricing and enrollment matters, and our future financial expectations and results are based upon current estimates and various assumptions. These statements involved material risks and uncertainties that could cause actual results to differ materially from those anticipated or implied by these forward-looking statements. Accordingly, you should not place undue reliance on these statements. For a list and description of the risks and uncertainties associated with our business, please see our filings with the Securities and Exchange Commission. CareDx disclaims any intention or obligation except as required by law to update or revise any financial projections or other forward-looking statements, whether because of new information, future events, or otherwise. This conference call contains sensitive information and is accurate only as of the live broadcast today, May 8, 2019. This call will also include a discussion of a financial measure that is not calculated in accordance with Generally Accepted Accounting Principles. Reconciliation to the most directly comparable GAAP financial measure may be found in today’s earnings release filed with the SEC. I will now turn the call over to Peter.
Peter Maag: Thanks, David and good afternoon, everyone. We had another exciting quarter at CareDx as we continue to accelerate our leadership position in transplantation diagnostics. Our first mover advantage gives CareDx a considerable speed and we are strengthening our platform every day. In March, we announced a partnership with Cedars-Sinai to study the use of AlloSure to characterize the response to therapy with an Interleukin 6 agent tocilizumab as a treatment for patients with antibody mediated rejection. Also in March we announced a clinical validation of AlloSure use in heart transplantation, which was published in the American Journal of Transplantation. This study is the first large prospective multi-center clinical validation showing the ability of our AlloSure heart testing service to detect acute cell mediated and antibody mediated rejection in heart transplant recipients. In late April, we announced an agreement to acquire OTTR Complete Transplant Management; the leading provider of transplant patient tracking software which is currently used in over 60 of the leading solid organ transplant centers in the U.S. Importantly OTTR software will simplify the transplant center workflow for ordering AlloSure and AlloMap. The addition of the OTTR increases the CareDx value proposition to transplant centers enables the EMR integration of our surveillance solution and the ability to manage patients longitudinally. It also provides the backbone to build artificial intelligence tools for providing care pathways. I am pleased to confirm that the transaction closed yesterday and that we are excited to welcome the OTTR team to CareDx and we expect a seamless integration. Just last week we announced an exclusive in-licensing agreement with Alex Loopik [ph] and his Paris based team from Cibiltech. Alex is a leading transplant pathologist in the field of machine learning and artificial intelligence. We have built a strong relationship over the years with Cibiltech and we are excited by his group's work. Cibiltech Predigraft data analysis tool represent the start of being able to use data to stratify transplant patients based on the risk for long-term outcomes. Besides the Predigraft tool, we are equally excited to be able to closely collaborate with the brain power of this team. We see this as only the beginning. Let me stop here and provide some context on how this all fits together. Over the last 20 years, we have been dedicated to transplantation. We have been a trailblazer developing proprietary clinical biomarkers and successfully navigating the reimbursement landscape. We are now setting the ball for multimodality testing combining our knowhow of gene expression and next-generation sequencing based technologies. Our goal is to add smart analytics and machine learning to provide Artificial Intelligence Solutions in transplantation. You will hear us talk about [indiscernible] which stands for artificial intelligence in transplant care. Our large clinical datasets collected through our registry study will provide caregivers with point-of-care decision making support tools that allow them to stratify their patient population. Our strategy to provide precision medicine tools with high value diagnostics to a highly complex and costly patient population is coming to life. The first example of multi-modality testing was our HeartCare solution, HeartCare combines both AlloSure-Heart and AlloMap rendering a higher precision assessment of the heart allograft then either test alone. In early April the reception to HeartCare was strong at the International Society for Heart and Lung Transplantation and we remain excited about the benefits of combining these tests for the heart transplant patient community. The logical second example of our multi-modality testing is KidneyCare, KidneyCare combines not only AlloSure and AlloMap kidney but also [indiscernible] data analysis tools really matter. We will launch KidneyCare at the American Transplant Congress in Boston in a few weeks time, we are very excited as this marks the next step in providing insight into organ injury immune [ph] and also provide the prognostic element of allograft survival at three years, five years and 10 years. Now turning back to execution and our performance another aspect of maintaining our substantial lead in the industry is to ensure that the race is a fair contest along these lines we will vigorously defend our intellectual property and our good name from inappropriate conduct from potential competitors. We are the leader in heart and kidney transplant surveillance and we continue to fortify our competitive market. We are on our away in lung transplant surveillance and we don't intend to stop there as we have a global presence with our transplant product. For the first quarter of 2019, total revenues grew 85% to $26 million compared to the year ago quarter. AlloSure, AlloMap and our product business all contributed to this growth. Growth in the quarter was broad based of testing service, revenue up 103% and product revenue up 34%, reflecting continued traction in this market segment of transplantation. Turning to numbers on AlloSure, during the first quarter 101 centers provided AlloSure results to their transplant patients. We estimate these 101 centers account for approximately 60% of the transplant volume in the United States. CareDx provided 5,710 AlloSure results in the first quarter to approximately 4,300 kidney transplant patients. Since launching AlloSure in October 2017, we have provided results to over 8,000 patients which equates to approximately 4% of the total number of living kidney transplant patients. Demand for AlloSure remains broad and includes both patients who recently received a kidney transplant, as well as patients that receive their kidney allograft in previous years. Overall reimbursement in the first quarter was consistent with previous quarters, with 70% to 80% of our AlloSure volume attributed to Medicare patients. We finished the first quarter of 2019 with 3,644 surveillance patients. We define surveillance patients as patients that are managed by CareDx on a predefined transplant center testing protocol. These 3,644 surveillance patients helped build the recurring revenue effect of AlloSure. We continue to make progress enrolling centers and patients in K-OAR, our Kidney Outcome AlloSure Registry, having surpassed our initial 1,000 patient enrollment goal. As of the end of March 2019, 50 centers had been initiated as K-OAR study sites and a 1,006 patients had been enrolled. We call that in the K-OAR study, we target 75% adherence to our AlloSure surveillance protocol. Multi-center studies like K-OAR widen our mode in transplantation, as these studies provide us with additional touch points with transplant centers and keep us in direct dialog with the key innovation hub and opinion leaders. These studies also drive compliance and adherence through standard protocols, which is a crucial element to our work in the transplant community. I would like to take this moment to mention Dr. Jim Yee; our Chief Medical Officer. After an extremely successful career at CareDx, Jim has decided to retire from his full time role as a physician to an advisor for CareDx at the end of the quarter. During his 13-year tenure at CareDx Jim was instrumental in developing and executing our immense CARGO II, DART, D-OAR and K-OAR has launched AlloSure in heart care, participated in hundreds of conferences and speaker events and joined thousands of clinician conversation all of which has led to tens of thousands of patients results. I'm extremely sad to see Jim move on but honored to have shared this transplant patient journey together. With the success of Jim and the team on our K-OAR an unrivalled peer reviewed publications together with our transplant center partnerships which account for over 60% of the kidney transplants performed in the U.S. Our EMR integration initiative and our new multi-modality solutions, we are adding to our Formidable Moat around kidney transplant patient care. Now shifting to our heart transplant surveillance solution AlloMap. First quarter 2019 test volume increased 11% year-over-year translating into 4,280 patient results with the adoption of heart care accelerating volumes in the quarter. This novel heart transplant surveillance solution combining both AlloMap and AlloSure-Heart, it’s resonating with the transplant community with both decisions and patients appreciating the comprehensive view of the health of the heart Allograft enables by heart care. Enabled by HeartCare. Our Surveillance HeartCare Outcomes Registry or SHORE study continues to be well-received by transplant cardiologists and we have recruited 9 centers to-date. I'm also very pleased to report from April, AlloMap is in network for all of Anthem’s network of plans across the U.S. Anthem is one of the nation's largest payers with approximately $40 million members and AlloMap is now a covered test for approximately 80% of all insured lives in the U.S. now turning to our transplant-led products, our HLA typing products are used in labs throughout the world to help determine which organs or bone marrow a transplant patient match between the donor and the recipient. Our first quarter product revenue growth was 34% contributing $4.4 million to our revenue in the quarter. Growth was driven by continued traction of TruSight HLA and QTYPE. We remain on track to fortify our product offerings with the introduction of new AlloSeq next-generation sequencing products in 2019. AlloSeq TX for HLA typing, AlloSeq cell-free DNA kit and AlloSeq BMT for bone marrow transplant testing, with the addition of order our patient engagement model is expanding, cardiac remains the leading provider of high value transplant surveillance solution and have added capabilities to manage patients longitudinally and further impact long-term patient outcome. Today we care for approximately 4% of the U.S. kidney transplant patient population this is a great start as the need for organ transplantation is ever increasing. Mike I'll hand the call over to you to discuss financial.
Michael Bell: Thank you, Peter. Turning first to the income statement, our first quarter 2019 Testing Services revenue increased 103% year-over-year to $21.5 million. The significant growth in testing services revenue was primarily driven by the 5,710 AlloSure patient results we provided in the first quarter. Growth also came from the 4,280 AlloMap patient results we provided which was an 11% increase compared to the prior year quarter. Our first quarter product revenue increased 34% year-over-year to $4.4 million and as such total revenue for the first quarter of 2019 was $26.0 million, representing an 85% increase compared to the prior year’s $14.1 million. For the first quarter of 2019, the net loss was $7.5 million compared to a net loss of $9 million in the same period of 2018. Our net loss per share was $0.18 for the quarter compared to $0.30 in the first quarter of 2018. Our first quarter 2019 net loss included a $6.1 million stock-based compensation expense and a $3.0 million loss from the change in estimated fair value of common stock warrant liabilities. For the first quarter 2019, our non-GAAP net income was $2.2 million compared to a non-GAAP net loss of $4.0 million in the same period of 2018. Our non-GAAP net income per share was $0.05 for the quarter, compared to a non-GAAP net loss per share of $0.14 in the first quarter of 2018. As a reminder we define adjusted EBITDA as non-GAAP net income before interest, income tax, depreciation, amortization, other expense and net loss attributable to non-controlling interest. For the first quarter of 2019, adjusted EBITDA was a gain of $1.8 million compared to a loss of $3.2 million in the first quarter of2018. While this marks the third consecutive quarter of positive adjusted EBITDA, we will be modestly further increasing our operating expenditures as 2019 progresses to further enhance our leadership position in transplantation. Cash and cash equivalents on March 31, 2019 was $57.4 million compared to $64.6 million at the start of the quarter. Net operating cash flow was negative $5.9 million in the first quarter of 2019. The operating cash outflow in the quarter was primarily related to annual incentive compensation payments for 2018 performance that were paid during the quarter. We continue to expect positive operating cash flow for the full year 2019. As Peter mentioned yesterday we completed the acquisition of OTTR Complete Transplant Management for $16 million. This transaction is being funded with cash on hand and we expect OTTR revenue for the full-year 2019 to be in the $6 million to $8 million range or $4 million to $5 million from May through December with net income anticipates to be breakeven. Turning to guidance, we're updating our 2019 revenue expectations to reflect the continued growth of AlloSure and anticipate $113 million to $115 million for the year,including $4 million to $5 million for the OTTR acquisition. With that, I will open the call for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Bill Quirk with Piper Jaffray. Please proceed with your question.
Bill Quirk: Great, thanks, and good afternoon everyone.
Peter Maag: Hi Bill.
Bill Quirk: Hi. So I guess first question is you know should we expect to see data on kidney care at the upcoming meeting here or when might this be released.
Peter Maag: I you know I think we have very strong data packages obviously on AlloSure. So Predigraft data is readily available because Alexandre Loupy and the transplant team in Paris have actually published extensively on iBox as it was called before. And on AlloMap kidney I think there is a bit of a surprise waiting and we are very excited about it also applying gene expression profiling technology to the field of Transportation and this will be initially launched as a combination of the three and I launched out probably in what we always do in form of a clinical trial. Making that available to transplantation and clinicians on and on a trial basis
Bill Quirk: Understood. And Peter would you be seeking out any additional reimbursement for the combination of the three or how should we be thinking about that.
Peter Maag: No I think we have been talking about AlloSure is really the driver for the company in the short term. I think we are building out strong mold in transplantation the reimbursement strategy has not been laid out as soon as we have laid out the strategy on the reimbursement side which will be predominantly again focused on Medicare reimbursement will be communicated to the street.
Bill Quirk: Okay great. And then just last one for me. It's just thinking a little bit about your strategy from earlier. I think you brought up in the fourth quarter call I want to get deeper with your existing accounts versus necessarily adding new accounts just for the sake of adding them. Does the new kidney care, is that change that strategy at all. You know maybe make it essentially combine model or are you going basically in both directions deeper as well as broader? Thanks.
Peter Maag: Bill thank you very much, a good question and no I think you see that we are now in this quarter in 101 centers – 101 centers which is completely confirming our strategy, we also see our KidneyCare the same strategy play out it’s going deep into these transplant centers that we have an established presence and there is a lot of opportunity for us to converting these centers into surveillance testing. So I think our strategy continues to – to execute against the path that we laid out there is no change to the strategy, the strategy is working.
Bill Quirk: Okay got it. Thanks very much guys.
Operator: Thank you. Our next question comes from the line of Brandon Couillard with Jefferies. Please proceed with your question.
Brandon Couillard: Hey thanks, good afternoon. Peter I would actually like to start with AlloMap the 11% volume growth – it’s been a while since we’ve seen that business do double-digit growth could you perhaps spike out or sort of quantify the impact from HeartCare and perhaps the breadth of users in terms of the docs or centers that have ordered and then does that change at all how you're thinking about AlloMap growth for the year relative to sort of the mid-single-digit assumption that you penciled in there for 2019.
Peter Maag: Brandon that’s an excellent question. I think HeartCare is really changing the paradigm in heart transplantation and the excitement that we felt in the ISHLT Congress was palpable and this was great to see we – you actually see the number of centers that have adopted SHORE our registry study is exceeding our expectations and the primary driver for the growth in the first quarter however was actually a bit of a slow quarter of the previous year. So we had a few days outwit heavy, heavy storms in the northeast that were leading to a bit of a catch up in the second quarter last year. So we continue to be modeling AlloMap in this mid-single digit range. We obviously are happy about the double-digit volume growth for this quarter, but I think we continue to look for a mid-single digit volume growth for AlloMap.
Brandon Couillard: Thanks. Then the couple on OTTR and iBox deals. First of OTTR, how long do you think it’ll take for you to sort of be able to build in direct ordering functionality for AlloSure and AlloMap? And then on iBox, is this something that would ultimately sort of require an FDA approval or is this sort of a feature or data – incremental data that you can just drop into the AlloSure test results?
Peter Maag: Both excellent question. I think on the OTTR there obviously is easy drop-ins for a few centers but it will take quarters and quarters for us to adopt AlloSure testing or AlloSure functionality or AlloMap functionality hit by a simple mouse click. In some centers it will be quick. The team is actually right now sketching out the strategy and will be updating you as we are progressing on this. Having virtual options to OTTRs with AlloMap and AlloSure is really the low hanging fruit for us and that's the primary focus. Longer term I think it is great to monitor patients longitudinally to make sure that there is a adherence and compliance opportunities to increase that together with centers realizing that they’re actually skipping a lot of the surveillance opportunities for these patients. And then longer term there is the artificial intelligence option. But shifting over to the regulatory and the reimbursement strategy for kidney care, I think we'll be launching kidney care and test the excitement of the transplant community at the American Transplant Congress. And we'll be then informing about the reimbursement and regulatory strategy. That may include FDA; that may not include the FDA at this stage. I don't think we have detailed that out yet. Overall, I think it's a significant contribution to transplant patients having on the one hand cell-free DNA testing as an ongoing injury marker than having AlloMap kidney as an opportunity to measure immune activity. And then on the third leg would be allograft prediction in terms of how long does the allograft actually function which is very exciting with the eyeball. So this comprehensive concept multi-modality testing is very exciting for us.
Brandon Couillard: It's helpful, then one more for Mike, just in terms of the outlook for the year. Should we expect, I guess how should we expect operating expenses to sort of trend sequentially from the first quarter over the balance of the year and these still expect positive EBITDA for the full-year and then I guess thirdly, how will orders would impact the gross margins and operating margins. Thanks.
Peter Maag: Yeah. Brandon, on the operating expense, if I look at it from a non-GAAP viewpoint in Q1, the operating expense was about $60 million, I would say by the end of the year in Q4, that operating expense would be about $21 million. So probably going about $5 million, increase being driven by other expense about $1 million a quarter. And the rollout of show and the continued rollout of K-OAR and by the end of Q1, we would fill that our sales and marketing team as we’ve talked about previously. And so we'll be getting the full expense for those over the next couple of quarters. I think though, with our increased revenue guidance increased revenue guidance, we’re still targeting to be EBITDA positive for that – throughout the full –throughout the year and from up a – from a margin perspective, AlloSure is going to be a breakeven from an EBITDA perspective, so very, very small impact on gross margins and very small impact on EBITDA margin overall.
Brandon Couillard: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Per Ostlund with Craig-Hallum Capital. Please proceed with your question.
Per Ostlund: Thanks. Good afternoon, everybody. And congratulations to Jim on his well-deserved retirement. I want to start out with AlloSeq DNA. So Peter, you guys are featuring this in some presentations at EFI this week. I assume that, that's a pretty, pretty good signal that you're very much on plan for the 2019 introduction. Have you started to sketch out, your go-to-market strategy, whether it's you know geographic areas of focus and that sort of thing and how much does the Allenex infrastructure from that acquisition help sort of grease the skids for you to get to market with that product?
Peter Maag: Per, excellent question and thank you so much for setting light on the product business. So I'm actually today in Portugal at the EFI Congress and it's great to see to be together with our distributor network to be here with the team and see the excitement that AlloSeq cell-free DNA is bringing, obviously everybody is looking at our success then in the United States, and then what this could bring to the transplantations outside of the U.S. is about, as we are adopting cell-free DNA testing. We are actually launching two products, one would be the AlloSeq Tx 17, which is our HLA typing product, so that market is very exciting. And then the other one is theAlloSeq’s cell free DNA which we will launch the same strategy in a way that we have found in the U.S. We will make sure the transplant vendors get their hands on a clinical study that we are getting them acquainted with the product and how to use it in surveillance setting and then inform -- very important around reimbursement. We don't think that this will be revenue relevant this year and it'll take maybe into the middle of next year in order to be really revenue relevant but this is a long thought out strategy for us and we are very excited to be launching these products in -- very, very soon in this market.
Per Ostlund: Okay very good. Coming back to domestic AlloSure in the kidney market in terms of you know some of the competitive noise I guess we'll call it that that's out there have you - I guess 2019 I think you've well telegraphed as the year of building the competitive mountain and you've established yourself in 100 centers and 00:28:38 101 one ordered this quarter and the utilization seems to be ticking up very, very nicely. Is that is any competitive noise impacting ordering activity at current centers. Is it having any impact on the periphery of you know those centers that have yet to order AlloSure from you.
Peter Maag: No I think the answer is No. I do think that there is growing excitement then having someone else talk about cell free DNA testing is not negative for CareDx as we are the predominant provider of these solutions at this stage. There are now a couple of companies out there that are making noise which is just supporting our efforts as we have the solutions that is here and now. I do think we have a first mover advantage and we are capitalizing on that first mover advantage somewhat right now I think this is the moment for us to continue to widen our mode in transplantation and we have a clear strategy and we're executing against it and this quarter really demonstrate that our execution is working really well.
Per Ostlund: Okay. Last question for me and it's kind of a follow up to bills actually related to kidney care. So looking forward to that launch here coming up in a few weeks. Peter did you suggest that that would probably see something a kidney version of SHORE essentially to get center adoption of the multimodality test?
Peter Maag: If you have followed the company we are really science based and evidence based and if we are bringing out a new concept which is really an exciting concept of combining three very different approaches to surveillance of kidney patients, we would always do that in a responsible and scientific way and the right way to do that is to, to support the community with generating valuable clinical information with a multi-center prospective initiative. As K-OAR has been such a great success with more than 50 centers recruiting more than a 1,000 patients, I think there is something to build on from K-OAR and that allowed us to just continue to build scientific evidence how these novel biomarkers and novel digital biomarker in addition will potentially change how transplant clinicians and caregivers are caring for these patients.
Per Ostlund: Okay, excellent. Thank you very much, Peter.
Operator: Thank you. Our next question comes from the line of John Hsu with Raymond James. Please proceed with your question.
John Hsu: Good afternoon. If I could just start off with the guidance the increase it looks like with the $4 million to $5 million from OTTR that the raise was somewhere in the $3 million to $4 million range, I guess organically or ex-software. So maybe Mike or Peter if you could start with where you're seeing the strength in the business and what's really kind of driving the increase organically in the revenue guidance?
Peter Maag: So I'll Mike talk to it, and he’s the closest to the number. Mike?
Michael Bell: Yeah, John, I mean, I think, I think the growth on the guidance, yeah you're right. Roughly half of that comes from the acquisition of OTTR, the other is really, really being driven by our expectations on the continued AlloSure growth. I think again for the quarter, AlloSure slightly exceeded our expectations and so we increased the guidance to represent not so. So yes, it's just continued acceptance of AlloSure.
John Hsu: Got it. And then just, just turning to the K-OAR study, it looks like things are tracking pretty nicely there, but just based on the pace of patients that you've been adding, are you still targeting 1,500 patients because it seems like based on that, the pacing that would imply that you know it might, it might extend a little bit longer than the mid-2019?
Peter Maag: You know we have originally talked about a 1,000 patients to be recruited by June this year and in a good fashion, I think we already exceeded against this in a quarter early, now at the end of March that we had exceeded that 1,000 patient recruitment target, you're right that you know there is probably the 1,500, they'll take some time. I think there will be some standards that are not fully recruiting. So if we were at 50 centers and maybe there see or there an additional vendor and there are recruiting of 30 patients, so it will be in this range between 1,400 and 1,500 patients and it will be go beyond June. And you know, we are in – in a way, continuously seeing these center being very excited about adopting the technology. Now there are some centers that actually do want to gain additional insight. So we will have a few centers where we’re actually increasing the recruitment from 30 patients to 50 patients or so and that's also an option. But we are extremely pleased with how K-OAR has really established the surveillance protocol in kidney transplantation, 50 transplant centers are now using 7+4+4 protocol which in itself is a key accomplishment for the forensic company.
John Hsu: Excellent and then I guess if we could just stay on enrollment. If we just fast forward a little bit on KidneyCare clearly you said that there will be some incremental enrollment. So again just thinking about the mode I know most high volume centers typically do call it 100 to 150 or so kidney transplants a year of which these centers are typically looking to enroll up to 30 patients right – the 50 centers on K-OAR. So is the right way to think about it that potentially you could reach another call it up to 30 patients in some of these centers. I'm sure there will be a lot of overlap once you rollout KidneyCare and the registry study associated with that.
Peter Maag: Our strategy always has been that we get transplant centers accustomed with the surveillance protocols through the K-OAR study which a study that we have discussed with Medicare to make sure that we have coverage and the data development and now I think there is a broad based adoption in many centers that have used AlloSure beyond the surveillance protocol I think this next study [indiscernible] based on how can we accumulate information based on these three data points that we are providing or three markers that we’re providing. And so I think that that's up to be defined and we'll probably talk about it following ATP and give you more guidance on that. But our goal is to substantially penetrate a number of centers this year and go really deep in as many as possible and get a lion's share of these 100 to 200 in some centers even 300 kidney transplantations per year
John Hsu: Okay great. That's very helpful. And then last one for me just thinking about the surveillance patients added in the quarter. Clearly you gave a nice breakout last quarter of it's really just kind of a combination of KR [kidney replacement] patients plus first time patients plus maintenance patients and then a true-up for attrition. So I don't know if you could just ballpark help us think about that. Obviously the KR we can back into the math based on the patients added for KR specifically but can you just help us think about maybe the other three pieces associated with that number. Thank you.
Peter Maag: Yeah John, I think what we saw in this first quarter of 2019 was very similar surveillance patient movements as a previous quarter so yeah the attrition the attrition rate was again in that sort of 10% ballpark. The split between newly transplanted patients and patients more than one year out was again similar segments as before which was roughly around sort of 60% in the first year. So yeah I mean that led to an addition of approximately 800 new surveillance patients in the quarter.
John Hsu: Okay, great. That's really helpful. And sorry just last one for me. Are we seeing any movement on the renal care front in terms of Secretary Azar made some comments and Peter you alluded to last quarter just around you know some movement from a legislative level. You know in terms of maybe starting to increase the availability of kidney organs?
Peter Maag: I think, this is a very exciting development that there is broad based support off of kidney issues in the current HHS setting and as ours really spearheading at that, great momentum there. There hasn't come out something very specific yet but we do anticipate that something will come up within the next three months to six months. I actually spent last week in Washington, talking about the various issues around the contribution of transplantation, that we can do to the kidney field because it's clear that transplantation is actually cost effective versus dialysis. And so there is a lot of tailwind so to speak. I don't think that this will be relevant this year, but as we see transplantation gaining share and momentum, I think increasing that the donor population will be a long-term positives for us and these type of issues will be – will be helping the company going forward at transplantation and things – it is an exciting field.
John Hsu: Okay. Great. Thank you so much.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Yi Chen with H.C. Wainwright. Please proceed with your question.
Yi Chen: Thank you for taking my question. My first question is, is the raised revenue guidance simply driven by the acquisition of OTTR, which has annual revenue of $6 million to $8 million or is it also driven by anticipated higher than prior – previous anticipated test volume?
Peter Maag: Yi, thank you very much for the question. I’ll talk – I’ll hand it over to Mike for the guidance.
Peter Maag: Yes, Yi. The increase is roughly half is coming from OTTR. So that some $6 million to $8 million is for the full year for OTTR, so probably for May through to December since the acquisition, we’re looking at something like $4 million to $5 million revenue coming from OTTR. So the delta for the increase in the guidance which is about $8 million at the midpoint is coming really from AlloSure and sort of continued expected growth of that.
Yi Chen: Got it. Is iBox technology expected to add any revenue to the top line?
Michael Bell: I think we haven't talked about the reimbursement and the regulatory path for the product right now. It is the concept, I would say kidney care really is encapsulating a concept similar to a heart care where we’re combining AlloMap and AlloSure here we don't expect right now for sure for this year contributions from Predigraft which is the iBox technology as a product for – as a contribution for this year.
Yi Chen: Got it. And how much impact should we expect from the inclusion of AlloMap and some Blue Cross in the coming years?
Peter Maag: I'll turn to Mike. I do think that – we see that as a very positive that rather than battling every AlloMap reimbursement and going back and reimbursement and going back and having negotiations and everything allow them up there that we are now in more than 80% under contract on AlloMap being in network with Anthem which sets us a key signal for transportation issues and high value diagnostics. And so we see the signaling effect of a very important impact. Mike if you want to add to that
Michael Bell: Yeah Anthem for AlloMap represents just under sort of 5% of the AlloMap for you. We've had a positive coverage decision from Anthem on AlloMap for several years, so we have been getting. We have been getting paid. Of course we've been getting paid on out of network basis and it takes a longer time to get paid on the Anthem network basis so being in network it'll improve the speed at which we get paid and the simplicity. But I wouldn't expect much of a revenue impact on that because again we've been getting paid over the last few years regardless
Yi Chen: Got it. And our final question is an update regarding the litigations against Natera.
Peter Maag: Nothing specific we've - those litigations were roughly a month ago. Natera still has time throughout the rest of this month in order to respond. So there's been no response yet. So no movements on this.
Yi Chen: Got it. Thank you.
Operator: Thank you. Ladies and gentlemen, at this time there are no further questions. I'd like to turn the floor back…
Peter Maag: Thank you very much.
Operator: Thank you. Ladies and gentlemen this concludes today’s teleconference. You may disconnect your lines at this time. Thank you for your participation.